Operator: Good morning, ladies and gentlemen, and welcome to the Neogen Corporation Second Quarter 2025 Earnings Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, you will conduct a question and answer session. At any time during this call, you require immediate assistance, please press star zero for the operator. This call is being recorded on Friday, January 10, 2025. I would now like to turn the conference over to Bill Waelke. Please go ahead.
Bill Waelke: Thank you for joining us this morning for discussion of the second quarter of our 2025 fiscal year. I'll briefly cover the non-GAAP and forward-looking language before passing the call over to our CEO, John Adent, who will be followed by our CFO, Dave Naemura. Before the market opened today, we published our preliminary second quarter results as well as the presentation with both documents available in the Investor Relations section of our website. We are in the process of finalizing our quarterly financials and while we do not expect them to, actual results could differ from the preliminary results being discussed today. On our call this morning, we will refer to certain non-GAAP financial measures that we believe are useful in evaluating our performance. Reconciliations of historical non-GAAP financial measures are included in our earnings release. And the presentation slide two of which provides a reminder that our remarks will include forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to be materially different from those expressed in or implied by such forward-looking statements. These risks include, among others, matters that we have described in our most recent annual on form ten k and in other filings we make with the SEC. We disclaim any obligation to update these forward-looking statements. I'll now turn things over to John. Thanks, Bill.
John Adent: Good morning, everyone, and welcome to the earnings call for the second quarter of our 2025 fiscal year. The second quarter reflected steady progress as we saw improvement across the business compared to the first quarter. With core revenue growth accelerating in both of our segments, sequential margin expansion, and significantly better free cash flow. In our food safety segment, the end market continues to work through unprecedented times stemming from the significant inflation in food prices and resulting lower levels of food production. However, we've continued to see gradual improvement with our proxy for the global food production beginning to approach flat levels on a year-over-year basis. This gradual end market improvement is coincided with what we see as an increasing focus on food safety from both consumers and regulators given the number of recent food contamination incidents, some of which have had tragic consequences. From a regulatory perspective, we are seeing an increased level of interest in foodborne pathogen mitigation. Following the USDA's declaration of the summer of salmonella as an adult in breaded stuffed chicken products, the agency has more recently proposed an expanded framework under which salmonella would be declared an adulterant in additional raw poultry products. It would also include additional monitoring and sampling requirements. The public comment period for this proposed framework ends next week. With any final determination on the path forward likely to be made in late 2025. The agency also announced last month that it will be taking new steps to strengthen this oversight of facilities producing ready-to-eat food products specifically in response to several recent foodborne illness outbreaks resulting from exposure to Listeria monocytogenes. The USDA issued a series of notices and directives that provide a more robust approach to Listeria mitigation. And include additional data collection and training as well as enhanced testing by the agency for mysterious species and guidelines for an effective food safety assessment methodology. From a consumer perspective, the fact that food content more broadly was a prominent topic in the recent presidential election, and seem to resonate with many people bodes well for our market. We fully expect consumers to continue to demand not only the and safe food, but also increasing disclosure on the content of food and beverage products. With the broadest product portfolio in the industry, Neogen is, of course, able to offer solutions to food producers that help to address all of these concerns. Last month, we further expanded our product portfolio in Futurefilm with the addition of Sirius Count plate. Which is the first new petri film plate launched in the last seven years. Underscoring our commitment to build on this product platform as a part of Neogen. This ready-to-use plate expands our future film offering to include another persistent food safety threat and eliminates the prep work associated with traditional agar methods. While delivering easy to interpret, high confidence results in as little as twenty hours. We continue to leverage our product portfolio increasing focus on food safety to drive growth despite the temporary headwinds. From sample collection production. I made further progress in the quarter winning back market share we seeded from shipping delays late last fiscal year. In our animal safety segment, core revenue growth improved eleven percent from the first quarter. On our last earnings call, we made the observation that we did not believe the lower first quarter revenue in animal safety was the result of a broader destocking trend and we were pleased to see the return to growth in the second quarter. Despite inventory in the distribution channel being at low levels, growth in the sales of our product out of the channel remained positive. It's difficult to make a call on when the market will turn. But we continue to believe we're operating around cyclical lows and are encouraged by the growth we saw in the quarter. In our genomics business globally, second quarter core growth was down mid-single digits on a year-over-year basis. We have round tripped the impact of the strategic shift towards larger production animals and did see growth in our differentiated cattle business in the quarter. This growth was offset by ongoing weakness in the companion animal side of the business. Driven by a lower number of pet adoptions and continued inflationary pressure on consumers, as well as a reduced level of outsource testing. With respect to the integration, we have discrete initiatives underway to drive improvements in the efficiency of our fully integrated shipping and distribution operations. Which we will expect to begin to show a benefit in the third quarter. Regarding the relocated sample collection production, the process of ramping up is continuing. All of the product lines are operational, and we believe we're on track to reach prior production levels by the end of the third quarter. Our new petri film facility continues to progress well with the first two major shipments of production equipment having already arrived in Lansing. With the extensive process of unpacking, assembling, and rigging for installation has already begun, we are on track for our goal of beginning initial test production in the new facility in the fall of 2025. While our primary focus has shifted to winning in the market, we have also undertaken actions to accelerate the building of a more profitable focused Neogen. During the second quarter, we initiated restructuring actions focused mainly on rightsizing our genomics business to drive a higher level of profitability for the more streamlined operations focused on our differentiated large animal offering. We expect additional restructuring activities in the third quarter as we continue to work on opportunities to protect margins and streamline different parts of our business. Including further actions planned in genomics. Over the last several quarters, we've mentioned that portfolio review has been a priority. And that there has been a significant amount of work being done to support that. The internal portion of that work is now mostly behind us. And we have multiple projects underway to explore strategic alternatives for a meaningful portion of our animal safety segment. We've not finalized any portfolio moves. But we currently have engagement with other parties that will review opportunities on the basis of creating value for shareholders, by improving profitability and further focus in the company on the attractive food safety market. With the first half of the year now behind us, we are updating our full year outlook. Revenue in the first half was in line with the expectations we communicated. Including progress on share recovery. The largest portion of the change in guidance is due to additional foreign exchange headwinds. And lower genomics revenue from our restructuring actions. As well as the longer ramp-up period we're working through for sample collection production. The change in adjusted EBITDA guidance primarily reflects the change in the anticipated revenue as well as a first half margin that was a little lower due mainly to higher freight and distribution costs. And some elevated inventory impairments. We have projects underway specifically to address freight and distribution. From which we expect to see a benefit in the second half. In addition to the restructuring actions taken. These initiatives in combination with higher second half revenue, are expected to support higher margins and build on the progress we made in the second quarter. Now I'll turn the call over to Dave for some more insights into our results for the quarter our Outlook.
Dave Naemura: Thank you, John, and welcome to everyone on the call today. Jumping into the results, our second quarter revenues were $231 million. Core revenue, which excludes the impact of foreign currency, acquisitions, and discontinued product lines, grew 3.5% for the quarter including a positive contribution for pricing while foreign currency was a headwind of 250 basis points compared to the prior year. At the segment level, revenues in our food safety segment were $164 million in the quarter, flat compared to the prior year due to the negative impact of FX, which offset core growth of nearly 4%. The core growth was led by our biosecurity products, and the bacterial and general sanitation product category, which benefited from strong growth in our ATP product line. In the indicator testing, culture media, and other product category, solid growth in our food quality, culture media and petri film product lines was offset by a decline in sample collection. As we continue the process of ramping up the relocated production in our own facility. Within the natural toxins and allergens category, modest growth in allergens was partially offset by a slight decline in natural toxins. Excluding the headwinds in sample collection, core revenue in the food safety segment grew 8% which we believe is more reflective of the underlying business. Albeit. On an easier compare. Quarterly revenues in the animal safety segment were $67 million which includes core revenue growth of 3.2% compared to the prior year quarter. Within our biosecurity product category, we saw growth in all major product lines, In the animal care and other product category, solid growth was driven primarily by biologics and wound care products, as well as vitamin injectables, which saw the easing of a supplier backlog situation. The VET instruments and disposable product category accelerated from the first quarter to modest growth in the second quarter driven mainly by sales of needles and syringes. Outside of genomics, core revenue in our animal safety segment was up over 7%. Our global genomics revenue was down mid-single digits on a core basis. Growth in US and international beef markets was primarily offset by a decline on the companion animal side of the business. From a regional perspective, core revenue growth in the second quarter was mixed. Growth was again led by Latin America, which saw double-digit growth with a strong performance across most key product categories. Including new business wins. Our business in Europe grew high single digits on a Core basis. Led by growth in petri film, general sanitation, and natural toxins. Asia Pacific core revenue was up slightly on a year-over-year basis, solid growth in petri film, partially offset by declines in pathogens and sample collection. In our US and Canada region, which has experienced the largest carryover impact from last year's shipping delays, core revenue was roughly flat compared to the prior year period. Solid growth in culture media, and food quality and nutritional analysis was offset by declines in most other food safety product categories, including a larger impact in sample collection as we continue the process of recapturing market share. In the animal safety segment, solid growth across most key product categories was partially offset by the decline in genomics. Gross margin in the second quarter was 49%, representing a decrease of 190 basis points from 50.9% in the same quarter a year ago. Excluding integration and restructuring costs, gross margin in Q2 was roughly flat compared to the prior year. Adjusted EBITDA was $51 million in the second quarter representing a margin of 22.2% for a sequential improvement of 210 basis points. On a year-over-year basis, the decline in adjusted EBITDA margin was driven primarily by having the full cost to exit the various transition agreements which we did not fully have, in the prior year period. This also includes some impact from higher shipping distribution costs where we expect to see improvement in the second half of this year from cost reduction initiatives we have underway. Second quarter adjusted net income and adjusted earnings per Share. $24 million and $0.11, respectively, compared to $25 million and $0.11 in the prior year quarter. The lower adjusted EBITDA in the current year Q2 was mostly offset by lower effective tax rate due largely to regional profitability mix. Our GAAP net income in the quarter was significantly negative due to the non-cash goodwill impairment charge related to the acquisition of the former 3M food safety division. We continue to have full confidence in the post-integration prospects of the business the impairment charge, primarily reflects, from an accounting perspective, the slower start we've had as a result of some of the end market and integration complexities. We ended the quarter with gross debt $900 million approximately 60% of which is at a fixed rate with our interest rate swap having reduced by $50 million at the end of the quarter and a total cash position of $140 million. Free cash flow in Q2 improved by approximately $80 million compared to Q1 benefiting primarily from lower capital expenditures improved working capital performance and the semiannual bond interest payment not repeating. With capital expenditures expected to step down in the second half, we believe that we are still on track to positive free cash flow for the year. Moving to our outlook, As John mentioned, we are updating our guidance to account for several changes compared to the assumptions underpinning our guidance entering the fiscal year. First half revenue developed in line with the expectations we communicated. However, with the continued strength of the U. S. Dollar, particularly post-election, we are now facing an elevated FX headwind. Which is the biggest change reflected in our updated guidance. Additionally, restructuring of our genomics business has resulted in additional intentional attrition of some less attractive revenue as we focus our end market exposure and streamline our operating footprint. Finally, the ramp-up of sample collection production to full capacity has taken longer than originally anticipated reducing our revenue in this product line as we have been unable to fully meet demand. Due to normal seasonality, the expected ramp of sample collection and continued share recovery we expect second half revenue to be more weighted towards the fourth quarter. If the restructuring actions taken and combined with operating expense efficiency, we expect to build on the sequential margin improvement we saw in the second quarter and see further expansion in the second half of the year. Our updated adjusted EBITDA guidance primarily reflects the decrease in revenue and the lower first half margin as well as some offsetting efficiencies from our restructuring actions. We expect our quarterly margins in the second half to generally be aligned with revenue and higher in the fourth quarter. As I mentioned earlier, we expect capital expenditures to decline in the second half and are maintaining our original outlook. Specifically related to the goodwill impairment charge, we will be filing form twelve b twenty five later today to provide additional time to complete the audit procedures related to our impairment analysis. We do not expect the impairment charge included in the financials in our earnings release to change but until we file our form ten q, the results technically remain preliminary. We plan to file our ten q next week within the grace period provided by SEC rules. When we do file our ten q, it will include the conclusion that we have had deficiencies in the control activities and information and communication components of the COSO Internal Control Framework. That constitutes material weaknesses. A high level, these deficiencies are primarily related to the timely execution and documentation controls We have performed additional analysis and other procedures to ensure that our financial statements are free from material misstatement. We remain on the journey of improving our global controls environment and are working through remediation actions which will be ongoing as we continue to progress through the integration and strengthen our capabilities. I'll now hand the call back to John for some final thoughts. Thanks, Dave.
John Adent: The second quarter represented additional progress for Neogen. We saw improved revenue, margins and cash flow from the first quarter. And our primary food safety end markets continue to show signs of gradual improvement. We're also taking the actions I covered earlier, protect margins and further focus the business. Part of the process of building the engine for the future and repositioning our company to win in the end markets. Along these lines, we also announced this week that Dave will be taking on the role of chief operating officer. In addition to his duties as Chief Financial Officer, With the operations organization already reporting to Dave, this additional responsibility will allow Dave to further strengthen the coordination and strategic alignment between the finance organization and the rest of our business. With the goals of optimizing margin improvement opportunities and capital allocation. Dave's expanded role coincides with the update we provided that Doug Jones, our current Chief Operating Officer, will be making his retirement official at the end of February. Afterwards, he will remain available to us through 2025 to ensure he smooth transition to a new chief commercial officer and provide other assistance as needed. We're well into the process of hiring a chief commercial officer with multiple rounds of interviews conducted with a number of highly qualified candidates. And we're excited about the opportunity we have to further strengthen our team with the addition of someone who will be solely focused on driving growth globally. The new Chief Commercial Officer will supplement the strong regional leaders we put in place and will be able to leverage our global scale comprehensive product portfolio, and the largest technical support team in the industry. While we're not relying on the regulatory environment to drive growth, the increasing level of regulatory interest in the U. S. Highlights not only the importance of food safety overall, but also the significant room for improvement that exists. Our long history and experience going back to the early days of food safety testing puts us in a position to be a trusted partner of both food producers and regulators to help in the mission of reducing the frequency and severity of foodborne illness. I'll now turn things over to the operator to begin the Q and A.
Operator: Thank you. And ladies and gentlemen, we will now begin the question and answer session. To ask a question, please press star one on your telephone keypad. If you're using a speakerphone, please speak up your handset before pressing any keys. To withdraw your question, please press star two. Moment please for your first question. And your first question comes from the line of Brandon Vazquez. With William Blair. Please go ahead.
Brandon Vazquez: Hey. Good morning, everyone. Thanks for taking the question. I'll start off with one kinda high-level question. You know, I think part of the discussions that we've had about putting this business together and reaching kind of higher profitability targets has always been based on volume. And I know a lot of the revenue coming down know, example, in genomics is something you're proactively taking, but it probably still has P and L impact. So maybe talk to us a little bit about, like, you know, we're going to a lower and lower revenue base to some degree here. What are the implications on what the margins of this business can be? Is this still a business as we're going closer to $900 million rather than closer to $1.1 billion in sales? Can we still think of this as a high twenty percent EBITDA margin in the foreseeable future?
Dave Naemura: Yeah. Hey, Brandon. It's Dave. You know, when we talk about portfolio, you hear us talking about components of the business. That maybe don't have the growth profile or the margin profile that we aspire to Neogen. And I think what we've seen in genomics over the last you know, call it you know, as an example here, what we've seen in genomics over the last year and a half is a business that hasn't grown. We've seen commoditization. We've seen decline from an EBITDA perspective. So, you know, it's a big component of bringing down the year was pulling out genomics. You've heard us talk about restructuring parts of that business. But we think by focusing it more we can support the margin profile that we're really after here. We have a really good franchise focused on cattle. And that's the focus of the restructuring actions we've done. You know, I guess I would just further add that when we think about animal safety, you know, you've heard us say a lot. We don't view it as one large business. We think it's a component it's made up of, you know, four or five different components, all of a little bit of different profiles. So we're really doing the analysis at that level. But the objective to your point, the objective is to, yes, From a revenue standpoint, potentially be smaller, but be higher quality from a margin and probably less cyclicality perspective as well.
John Adent: Yeah. And, Brandon, it's John. I'm just to add to what Dave said. You know, the other piece we're doing is, you know, we talked about the restructuring activities. We're taking to make sure that we can continue to drive to our targets you know, and where we put the guide at, you know, the mid twenty range and the And second half of the year for EBITDA.
Brandon Vazquez: Okay. That makes a lot of sense. Maybe a little bit more granular of a question on near-term trends on sample handling. Can you talk to us a little bit about, you know, obviously, in the past when you've had some issues in distribution, things that this is food safety. Customers need the test. They move to someone else. Are you guys getting in a position now as your the manufacturing is taking a little longer in sample handling to ramp? Are you kind of losing some share there? Is this gonna be something that even if it's fixed, I think, John, you said at the end of fiscal Q3, gonna probably have several quarters of headwinds after it. Because you need to go out, reengage with those customers, and get that share back again.
John Adent: Yeah. I think that's exactly right. And then you see that that business is a consumable business. Right? So when you lose when you don't have product available, you lose the sale and customer has to go buy that product from somewhere else. So I think it's been a bit of a challenge. We talked about some of the things that happened with it, you know, we weren't able to get the desired safety stock up. We brought four lines over. It was one line that's kinda been the challenge. Product line wasn't decommissioned. Right? So we began production in our facility in the second quarter. We're at about half that output now. Of historic. We think we're gonna be at 100% for Q3. We think that Q1, the impact was about $4 million to $5 million. We think Q2, it's probably going a little bit to $6 million. But we see that easing in the second or in the third quarter and then going in the fourth because we're gonna be able to bring those capacity rates back up by the end of the third quarter.
Brandon Vazquez: Okay. Great. And, John, one last one. Another big picture one. You talked a little about the evolving food regulation space. Seems like there's even some potential for a separate food administration, which would be great. I think there's a lot of there tends to be a lot of questions just around what could this mean for food safety regulation in general and then what it can mean for Neogen. I know you touched a lot a little in the prepared remarks, but maybe talk about, like, what are some realistic scenarios you could see playing out here and where can you see benefits? Because some of your biggest customers are probably already extensively food testing. Right? So where can you see benefits to the business? In an increasingly food regulatory environment?
John Adent: Yeah. Thanks, Brandon. Yeah. Look, I think the tailwinds from this could be very significant for Neogen over the longer term. When you look at some of the challenges that companies have had, you know, recently, and all of us are aware, those are very established companies that have had very significant food safety programs. I think the thing that people need to recognize is food safety monitoring and testing is very much like cybersecurity. It never ends. And there's always new threats, and there's always new pathogens and ways these pathogens can kinda get into your system. And therefore, always updating and improving your risk analysis is extremely important. And I think that's what's gonna help continue to drive Neogen success in the future, because we have the broadest portfolio, we have the broadest team, and we're gonna be able to help those customers. Meet those challenges. And you see it from a regulatory basis where they're gonna say this is now the new minimum, but I also think customers are understanding that just because you haven't had an issue in ten years does not mean you're not gonna have an issue tomorrow. It is a day-to-day constant monitoring fight in a way that we can help our customers win that fight so they provide safe food to their consumers.
Operator: Thank you. And your next question, your next question comes from the line of Subu Nambi with Boudinheim. Please go ahead.
Subu Nambi: Hey, guys. Good morning. Thank you for taking my questions. You touched on this a little. Could you give us more color on magnitude for each currency, genomic attrition and the delay in sample collection production that resulted in the $25 million reduction in guide. At midpoint? And then could you break out some of the accelerators or headwinds getting to that guidance number as well? Thank you.
Dave Naemura: Hi, Subu. Thanks for the question. So when we think about the guide reduction at the midpoint, which I think is the heart of the question, The two biggest components is really FX. And the genomics reduction, which makes up significant portion called over two-thirds of the reduction. You know, the FX has strengthened significantly post-election. In November and December, the US dollar has strengthened. So that headwind has grown. And then, of course, as we proactively taking these actions in genomics, so that's the biggest piece of it. Within know, some other items netting, but really sample collection being kind of the third piece to get to $25 million. And when we think of it, the EBITDA line, there's some fall through on that, less so from less so from the genomics because know, we've also hand in hand restructured out a lot of the infrastructure associated with that. But from you get the fall through from FX, which actually is given our profitability, and not having as much kinda overhead and infrastructure internationally, comes through at a little above the fleet average rate. And then and then also as well sample sample collection and other products come through. And then I think it's worth pointing out, you know, we've talked consistently through the year that from a shipping and distribution cost standpoint, we knew we had inefficiencies last year. And had planned to improve on that this year, and we've been running higher than we had thought particularly in the first half year. Now we have actions in place to do better there, which is not restructuring, but those are operational actions. We're working on that for the second, but ultimately, the second half, but ultimately that impacts the year guide as well.
Subu Nambi: Thank you for that, David. You why did it take another quarter to realize this? You should know of all this. Heading into the year. Right? Sorry for being so blunt here.
Dave Naemura: Are you talking specifically about shipping and distribution costs? I think Exactly. Exactly. A lot of what we're yeah. Well, we definitely saw the impact in Q1, and I think we talked with folks about that when we saw the margins lower than we had thought in Q1. The gross margin level and also impacts OpEx, kind of shipping and distribution. It is. We did see some improvement sequentially in Q2, but it's really about responding to you know, your question's really fair, Subu, but also I think it requires a look back at what we went through last year in shipping and distribution. Where we were just focused on trying to get things out the door our post-integration environment, And then as we're settling that out, we you know, we had to kind of bottom out, I think, what it looked like in normalized state. So and I think we were really working through that coming into the year. In a normal course business that isn't going through these integration activities, I agree with you, but I think it's more of a symptom of the changes we've gone through of less four quarters. And to be honest, it's been compounded by some shipping rate issues. Are a little difficult to predict, particularly as it relates to ocean freight.
Subu Nambi: Got it. And then I have a similar question as Brandon, but for Petrefone. You've struggled couple quarters together here on offense. I losing some customer share, but now you're trying to win it back. Where does the current customer sentiment stand today? And are customers holding off before recommitting?
John Adent: Yeah. I super, it's John. I'll take that. I mean, I think customer sentiment gets better every day because we continue to show them that we have supply and we can meet their needs. And we saw that where we kinda regaining back those customers. Over the different Over. Q2 over Q1. And you know, while we know that it's gonna be challenging to get everybody back. We do see that the customers are coming back. They're happy with us. And the ones that take a little bit longer, when need to do is what we're doing now. We need to offset that with new customers and growth. That's really what we're focused on. So we've seen the customers come back, but this is something where, you know, we need prove ourselves to them every day, and we are. And each day we do it, more comfortable they get.
Subu Nambi: Got it. This is smaller part of your business, but still a significant one. You mentioned in one Q that animal safety peaked in US in 2022. And then declined last two years. Are you expecting that again the remainder of this year? Or are there any early indicators to prove that that is happening? Any factors that would give you a different reaction?
John Adent: Yeah. I mean, I get into this a lot where I'm I hate to pick the tops and the bottoms, but, you know, last quarter, when we saw the we saw animal safety kinda drop, you know, we made sure to say, look, it was it really wasn't a kind of fundamental destocking. And we saw really good sequential improvement you know, related to that second quarter. And really, like we said, that first quarter was a couple of specific issues on a few large distributors. That we didn't think was a broader issue. And in fact, you know, that was the case. So we had a bit of a backlog. To some that we had on the third-party supplier, which we cleared in the quarter, that really helped us. But like I think we're on pretty solid footing right now for animal safety. We continue to see our move out through distributors being positive. And so to me, that gives me confidence going forward in animal safety.
Subu Nambi: Okay. Fair enough. Thank you, guys.
Dave Naemura: Thank you, Suzy. Thank you.
Operator: And your next question comes from the line of David Westenberg with Piper Sandler. Please go ahead.
David Westenberg: Hey. David, we're not able to hear you. Really? You can't hear me? You can't hear me. What about now? Can you hear me out? Now we can. Now we got you. Okay. Perfect. Alright. Thank you. So you've been mentioned about the freight and distribution cost. Can you help out piece out how much of it is related to just distribution channel center changes kinda kinda that reorganization versus external factors such as, you know, oil prices or you know, you know, so you mentioned kind of c shipping. We're I'm just trying to get a handle of you know, just when that could end, how that comps, and what stuff. You know? We need to probably continue to worry about in the future just because, you know, you obviously can't control oil prices or shipping. Like, you know?
Dave Naemura: Yeah. Yeah. No. Look, David. Good question. I think the majority of it relates to where we ended up kinda bottoming out the internal costs associated with our internal logistics and distribution operations, once we kinda got through what we went through last year. We are seeing higher rates. I would also say I think we have opportunity in rates, and that is one of the threads that we're pursuing for second half. Is renegotiating some of those contracts. But I think look, we're also bringing in some additional talent internally on that side. We just had someone start that we're really enthusiastic about. Who will be taking a new strategic look at our whole global network. These things are difficult to move in the short period of time because the priority is to keep them moving. But we'll have a number of actions. I think you'll see the change in the future being driven more operationally than by external factors.
David Westenberg: Got it. No. Thank you. And then I'm just gonna ask on the genomic and focusing on profitability here. You mentioned on the call just that you have a little bit more focus on large animal. Does that mean your exiting companion? And if you are, can you talk about some of the how that might impact some of the other areas in terms companion animal? For example, you know, parasiticides or you know, I know you have a clean view of the companion. Yeah. Cleaners and disinfectants line, anything like that. I'm just I'm just trying to think about know, it's kind of a continuation of Brandon's question about how, you know, your Yeah. You have a you go by volume, but at the same time, you might be reducing something. So can you also run us through how you came up with the decision there?
John Adent: Yeah. Look. Historically, genomics was a really good growth source for us both organically and inorganically, but in recent years, we've seen kind of the competition expand and while some of the market and that's why we're really focusing on where we can add value is when we sell a product with insights directly to customers. Right? So we're helping the customer take that data and make good decisions. Which is the case in our differentiated cattle. When you think about small production animals and even companion, Today, the current big pieces of our business is we supply the raw genomic results and then they interpret or they then change it and give to their customer base. So we're not exiting. That, what we see is that that companion genomics market is slowing down. We haven't seen, you know, the puppy boom that we saw for COVID has been slowing down, so that market slowing down. And we're seeing a lot of those tests being more outsourced. Because it's raw genomic data. Right. Now what What's challenging to me and frustrates me is because that market's declining, if I, like, what gets me interested and excited about the business, if I take genomics out of second quarter for animal safety, the growth rate goes from 3.5% to 7.5% to 7.3%. Right? So we have and I have a similar thing in food safety. If I take out sample handling, Q2 growth goes from 3.6% to 8.1%. And year to date, it goes from 2.4% to 6%. Right? So I have a couple of really bespoke issues that we are working diligently on. To fix. But that's what kind of gets me excited and see where the underlying business is growing versus these two things that are really headwinds for us.
Dave Naemura: Yeah, David, let me add two points to what John said. So I think John mentioned this, Paul, reinforce. We're seeing less outsourcing, and that's what we do. We do the back office testing for companion versus having our product direct to the consumer. We're seeing that decline. And we anticipate seeing that continue to attract frankly. But to your other point, the relationship to other companion products. Not exiting companion. We're exiting specifically the back office work that we do. We're not exiting it. We see it frankly, now and it is unrelated to our other products that would be focused on companion. You know that most of our products are focused on production animals, but we do have some focused on companion. But a lot of times, we talk vet we're talking production, of course. So there wouldn't be any additional spillover from that.
David Westenberg: If you guys can hear me, I'm having headset issues, but thank you so much.
Dave Naemura: Okay. Thanks, David. Thank you. Are you ready for next question, please?
Operator: Your next question comes from the line of Thomas DeBourcy with Nephron Research. Please go ahead.
Thomas DeBourcy: Hi, guys. My question, I guess, relates to kinda animal safety and, I guess, the pruning of the portfolio or potentially I guess, you know, selling parts. You know, it's a little difficult when it is kind of, you know, I guess, played out over a longer period of time. So, you know, is there a certain time period where you would expect this to occur, and then if not, you know, this is really the portfolio going forward? Or how do you think about kind of just you know, the time frame towards, I guess, making any strategic decisions or kind of, I guess, you know, growing off the base that you have.
John Adent: Yeah. Thanks. Thanks, Tom. I mean, well, like, it's difficult to talk to specifically until we've got something completed, but let me kinda take you through our approach. Because I think that will help you kinda think how we're doing. So because you know, animal safety is made up of, like, four or five product categories. It is not a monolithic business, and we looked at those each category in our portfolio analysis. And then what we did is we focused on you know, those few categories that we have that are lower growth, lower profitability, and more cyclical. We did the internal work on those categories. And we've moved in the next stage with active engagements. Alright? Collectively, we're targeting a significant amount of animal safety revenue, probably around f. And that's kind of the process that we're in right now. And so we'll keep you guys updated as developments happen.
Thomas DeBourcy: Great. You very much. Appreciate it.
Dave Naemura: Thanks, Tom.
Operator: And I'm showing no further questions at this time. I would like to turn this back to our CEO, John Adent, for closing remarks.
John Adent: Thank you. So thanks, everybody. Thanks for being on the call with us today. I wanna thank our team members for all their hard work. In 2024 and the work they continue to do. We've accomplished a tremendous amount in 2024 and are looking forward to a much better 2025. We hope all of you have a prosperous and happy 2025. So thanks for joining us.
Operator: Thank you, presenters. And ladies and gentlemen, this concludes today's conference call. Thank you all for participating. You may now disconnect.